Operator: Greetings, and welcome to the Americold Realty Trust Second Quarter 2018 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Brad Cohen, ICR.
Brad Cohen: Good afternoon. We would like to thank you for joining us today for Americold Realty Trust Second Quarter 2018 Earnings Conference Call. In addition to the press release distributed this afternoon, we have filed a supplemental package with additional detail on our results, which is available in the Investor Relations section on our Website at www.americold.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated. Forward-looking statements are based on current expectations, assumptions and beliefs as well as information available to us at this time and speak only as of the date they are made, and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures. More information about these non-GAAP financial measures and reconciliations to the comparable GAAP financial measures is in the supplemental - is contained in the supplemental information package available on the company's Website. This afternoon's conference call is hosted by Americold's Chief Executive Officer, Mr. Fred Boehler; and Executive Vice President and Chief Financial Officer, Mr. Marc Smernoff. Management will make some prepared comments. Afterwards, we will open up the call to your questions. Now I'll turn the call over to Fred. Fred?
Fred Boehler: Thanks, Brad, and thank you and welcome to our second quarter 2018 earnings conference call. This afternoon, I will review our progress against certain key operating metrics and our external growth strategy. Marc will then summarize our recent results, review our balance sheet and provide an update on our liquidity position. After our prepared remarks, we will open up the call for your question. Americold is the world's largest owner and operator of temperature-controlled warehouses and is the only publically traded REIT focused solely on this business. Our size and scale combined with our focus on operational excellence, create a meaningful competitive advantage over our peers. As of June 30, our portfolios consists of 156 mission-critical facilities which serve approximately 2400 customers globally. Our 25 largest customers including leading food producers, distributors and retailers account for approximately 62% of our global warehouse revenue. Each utilizing multiple facilities across our network and having been with us, on average, for over 30 years. The second quarter of 2018 was strong for the company as we continued to execute on our strategy while taking steps to refine our portfolio and drive ongoing initiatives to support our customers in a manner that best positions us for long-term growth. Our performance continues to be supported by strong industry fundamentals with continued steady growth and demand in limited new supply. Barriers to enter and succeed in the temperature controlled real estate and logistics business remain high due to significant build costs, strategic locational requirements, strong customer relationships and proven operational expertise that is required in our industry. We are a partner of choice to many retailers, producers and distributors who rely on our infrastructure and expertise to drive down cost and efficiently operate their temperature controlled supply chain networks. Through a proactive portfolio management, we continually strive to optimize our network to better serve our customers and enhance our returns. We place significant emphasis on the quality of the solutions we deliver to our customers and underwriting that supports these efforts. These initiatives, when combined with our continuous improvement culture and the Americold operating system support our strategy of driving profitable growth. Much of this work results in what we refer to as improving customer mix. Ultimately, our customers customer drive the utilization of our infrastructure, the services required and the resulting throughput of products through the [indiscernible] including our network of warehouses. We seek to enhance our value of our customers by assisting them to improve the efficiency and effectiveness of their supply chain while also enhancing the quantum, quality and stability of our earnings. Our results today evidence our progression of this strategy. This afternoon we reported revenue growth in our global warehouse segment of 2.1% and our NOI grew by 7.1%. These results were primarily driven by a favorable customer mix, net new businesses, improvements in our commercial terms and contractual rate escalations. We also benefited from continued operating efficiency gains driven by labor productivity and the leveraging of fixed expenses. As a result of these initiatives, which are collectively focused on driving profitable growth, our global warehouse segment contribution margin expanded 150 basis points to 31.6%. We continue to operate at a high level of occupancy and utilization across our global network. Our quarter-end average physical occupancy was 74.2%, consistent with prior years. We may see some variability in physical occupancy related and differences in seasonal commodity flows and the second quarters typically our lowest occupancy quarter during the year. We continue to transition our customers to a high mix of fixed commitment rent and storage contracts which helps them to manage their supply chain more efficiently and mitigates the quarter-to-quarter fluctuations of our physical occupancy. During the second quarter, 39.7% of our rent and storage revenue was earned from customers with fixed commitment contracts, an increase from 38.9% from the first quarter of this year. Regarding our portfolio and customer activity, the second quarter was extremely busy here at Americold. First, as a part of our ongoing active portfolio management efforts, we sold one facility in Thomasville, Georgia and exited our lease facility in Vernon, California. The cap rate on the sale of Thomasville, Georgia asset was 6.8% based on the full year 2017 NOI. This was the tertiary location that was non-core to our strategy. Also, we elected not to renew our lease that Vernon facility which was over a hundred years old. We continue to focus on owning and controlling our assets and are actively pursuing customer-driven and market development opportunities in the Southern California market. Turning to our development activity. We have made significant progress and have recently reached targeted occupancy levels in our new Clearfield, Utah facility. We are very pleased with our teams execution on this asset. In addition, we expect to deliver a new production advantage facility in Middleborough, Massachusetts this quarter as planned and in time for the fall harvest. We also remain on track at our state-of-the-art expansion project in Chicago and we continue to build a strong pipeline of key customers to support the launch of this facility by the end of first quarter 2019. Beyond this activity, we continue to evaluate and pursue future external growth opportunities while remaining disciplined in our approach and execution. These opportunities include potential large investments and we're working hard to ensure that the returns are aligned with creating long-term value for both customers and shareholders. Let me now briefly comment on some of the industry terms that we are seeing including trade tariffs, e-commerce and customer consolidation. Regarding the impact of tariffs on trade, we have seen a slight increase in beef and pork holdings to-date in the third quarter. However, given our strong commodity diversification and the fixed commitment contracts, we typically experience limited volatility in our results from these types of events. Related to e-commerce trends, we believe this represents an opportunity for Americold to support participants since they gain scale by providing both the infrastructure and necessary services. We expect food consumption and growth to remain steady and flow through our infrastructure regardless of whether it's ultimately destined for a grocery store, restaurant or home delivery. Our core network will continue to provide the required temperature control infrastructure for our existing manufacturer and retailer customers. Lastly, in regards to recent M&A activity, and further consolidation amongst our customers, these trends only enhance the value of our integrated network leveraging our scale, technology and expertise in the temperature controlled infrastructure in the logistics industry. As an organization, Americold continues to focus on executing our internal and external growth strategy and I could not be prouder of our teams effort and accomplishments. I will now turn the call over to Marc.
Marc Smernoff: Thank you, Fred, and good afternoon, everyone. For the second quarter 2018 we reported revenue of $394.7 million, a 4% increase from the same quarter of the prior year. Total contribution or NOI was $98.2 million, a 9.2% increase from the same quarter of the prior year. On the expense side, SG&A in the second quarter totaled $27.5 million or approximately 7% of total revenue. This quarters SG&A represents our first full quarter as a public company. Core EBITDA was $73.6 million for the second quarter of 2018, an increase of 5.6% from the same quarter of the prior year. The year-over-year growth in core EBITDA was driven by a more favorable customer mix and continued operating efficiency gains. Our core EBITDA margin expanded by 30 basis points to 18.7% while overcoming incremental SG&A totaling $1.1 million year-over-year reflective of higher public company costs. We reported net income of $29.4 million compared to a net loss of $8.4 million for the same quarter of the prior year. This quarter's net income included $8.4 million in gains on the sale of our Thomasville, Georgia facility that Fred mentioned earlier. Excluding that gain, net income would have been $21 million. Our second quarter core FFO was $43.1 million or $0.29 per diluted share compared to $25 million for the same quarter of the prior year. Our second quarter AFFO was $39.8 million or $0.27 per diluted share compared to $19.7 million for the same quarter of the prior year. As a reminder, the full definition and reconciliation of core EBITDA, core FFO and AFFO to reported net income can be found in our supplemental. For the second quarter 2018, global warehouse segment revenues grew by 2.1% year-over-year to $287.7 million. Segment NOI grew 7.1% to $90.8 million compared to $84.8 million in the prior year. Global warehouse margin was 31.6% for the second quarter compared to 30.1% for the same quarter the prior year. This represents a 150 basis point improvement driven by the same factors discussed earlier. Similar to the first quarter, we again benefited from lower workers comp expense which was approximately $1 million lower year-over-year due to favorable safety trends and improved internal processes including behavior-based safety programs. Again, we want to remind you that there may be some variability in this line item quarter to quarter. Now turning to our same-store results in our global warehouse segment. Our global network at June 30, 18 consisted of 156 facilities including 144 from our global warehouse segment and 12 managed warehouses. We defined same store as facilities that have at least 24 months of normalized operation. Of the 144 facilities in our global warehouse segment, 137 met our definition during the second quarter and are reported as same store. For the second quarter of 2018, our same-store revenues grew by 2.8% year-over-year to $281.4 million. This revenue growth was driven by the same factors that benefited our total portfolio and more than offset the year-over-year decline in physical occupancy of 140 basis points and throughput pallets of 4.4%. As Fred discussed earlier, our network optimization initiatives, improved commercialization efforts resulted in a positive change in customer mix allowing us to drive profitable growth. Global same-store rent and storage revenues grew by 3.5% year-over-year as we continue to transition more of our customers to fixed commitment stores contracts. During the quarter, 39.7% of our rent and storage revenues were derived from customers with fixed commitment stores contract, an increase of 80 basis points from the first quarter. We would remind you that our second quarter, same-store average physical occupancy of 74.8% is relative to the 85% occupancy that we would consider our optimal physical occupancy. As we continue to transition to a higher mix of fixed commitment storage contracts, at times there may be a number of unoccupied pallet positions that continue to generate monthly revenue. Global same-store warehouse services revenue for the second quarter increased 2.2% from last year. Our favorable mix resulted in growth of 6.8% in our same-store warehouse services revenue for throughput pallet which overcame the lower volume associated with this mix. Our same-store warehouse services contribution was $10.6 million, an increase of $4.1 million or 62%. Warehouse services contribution margin improved 250 basis points to 6.7% in the quarter. Our second quarter 2018, same-store NOI was $90.5 million, up 8.1% over the prior year results driven by the same factors previously discussed. Within our global warehouse segment we had no material changes to the composition of our top 25 customers, additionally, year-to-date churn rate was approximately 3.4%, a 160 basis point improvement from the prior year. Moving to our first half highlights. For the first six months of 2018, total revenues were $785.8 million, an increase of 4.4%. Global warehouse segment revenues were $574.2 million, an increase of 3%. Total contribution was $195.5 million, an 8% increase. Global warehouse segment NOI was $180.4 million, an increase of 7.2%. Core EBITDA was $145.3 million, an increase of 6%. Net income for the first six months was $20.8 million compared to a net loss of $4 million. Core funds from operation was $77.9 million or $0.57 per diluted share for the first half of 2018 compared to $47.7 million. Finally, AFFO was $79.7 million or $0.58 per diluted share in the first half of 2018 compared to $46.5 million. Turning to our balance sheet. We believe that our strategy to maintain the strong balance sheet with ample liquidity, capacity and access to multiple capital sources will allow us to take advantage of growth opportunities as we identify them. At June 30, 2018, we had total liquidity of $570 million including cash and available capacity on our revolving credit facility. Our total debt outstanding was $1.56 billion with a weighted average effective interest rate of 5.43% and a weighted average term of 4.2 years. At this time, 64% of our debt, including capital leases, is at a fixed rate. We have no material maturities through 2019 and at the quarter end, on a trailing 12-month basis, our net debt to core EBITDA was approximately 4.8 times. I will now turn the call back to Fred.
Fred Boehler: Thanks, Marc. Overall, we are very pleased with our second quarter results. Fundamentals in the temperature controlled storage industry remain strong and supportive of our business. We continue to benefit from our industry-leading scale, technology and expertise as well as the progression of the Americold operating system. Through proactive portfolio management, we continually strive to optimize our network, to better service our customers and enhance our return. Finally, I'm really proud and want to thank the entire Americold team for their outstanding effort as we continue to execute on this strategy. Operator, this completes our prepared remarks. Please open the call for questions.
Operator: [Operator Instructions]. One moment please while we poll for questions. Our first question comes from Joshua Dennerlein, Bank of America Merrill Lynch.
Joshua Dennerlein: Curious to hear your take on maybe in tariffs placed on food, exports, how much of your business is export driven and has there been any tariffs that are on products in your warehouse? How do you think that would play out for you guys?
Fred Boehler: Yes, yes. Obviously, we're the guys that are storing it on behalf of the manufacturers and pushing it through the supply chain so we don't have a ton of control and expertise. But here's what I would say. Number one you've got to remember we've got a very diversified portfolio. So probably the biggest products that are being impacted right now would be pork and beef and just from a perspective that's about 7% of our overall business. Typically, what happens when you run into this situation is you'll get some pent-up demand, it will fill the warehouses. The impact for us is that's good. We get the passive income, the storage income associated with that. We would shut our labor if the throughput volume decreases and then ultimately we fully expect that the market will pick up again because, and I think the Wall Street article did a good job of kind of talking about this as well, that these manufacturers are going to find other markets to go into and I think that's a good thing for everybody into the future. So the product will start to flow again, we'll ramp up the labor to handle the throughputs and move the product through. So very negligible impact to us in terms of our results.
Joshua Dennerlein: Okay, and then maybe switching gears to your development pipeline. You've had one project stabilize this year and another looks like it's hitting in 3Q. Any new projects in the works that kind of backfill that in development pipeline that you have?
Fred Boehler: Yes, so you're right. The Clearfield facility did stabilize at this point. We actually have two more that are being built right now under development. One is the facility that is going to be coming live in October. The beauty about that facility is once it comes live it's right in time for the harvest so it's going to fill up immediately. So great timing in terms of that facility coming up, so it won't take a full year to stabilize like a traditional build might. The other facility that's under development is our Chicago facility. And so we're well into that phase, and that facility will be ready for customer volume and start moving in the first quarter of 2019. Beyond that, we still have a very healthy pipeline of development opportunities, both customer-driven and market-driven types of opportunities. And I'd say that we are moving along with our process of negotiating. When you're dealing with customer build-to-suit types of opportunities, which is approximately about 60% of our pipeline, those tend to kind of move in and out based on those negotiations with those customers. So I'm very bullish on the pipeline that we have and the progress that we're making with those customers and hope to soon announce some other activity.
Operator: Our next question comes from Michael Carroll, RBC Capital Markets.
Michael Carroll: Yes. Can you guys talk a little bit about the Chicago development and when that gets completed, do you already have agreements with tenants that want to take space or how long does it take for that to get fully stabilized?
Fred Boehler: Yes. Thanks, Michael. Yes, that facility is what we call a market-driven opportunity. The way that came about is we looked at the capacity, the competitive landscape and like most core logistics markets, the capacity is pretty tight. So we looked at those demands, we looked at our large anchor tenants that we already have in the market and looked at their growth patterns as well as we tracked all of the inbound activities and needs into the marketplace through our Salesforce application. And so by combining all of that, we said, hey, the market can support this additional growth. So in the meantime as we're under development, we are working with our customers to secure new demands for that facility. Some of those will be locked up before the building opens and others will transition in over the course of the year. So we expect a full year and that is more typical of most of our builds; a full year to get stabilization.
Michael Carroll: Okay, then as you complete these development projects given process now and I know you did a good job describing the opportunities you have in the future. When do you expect to break ground on another project and given the tight market, are you willing to pursue one of these market-driven type facilities here in the near-term?
Fred Boehler: I think that is in our portfolio. It's a balancing act, right? So when we look at where we're going to spend our money, we're going to balance between the customer-driven opportunities as well as market driven. Obviously if I have a customer-driven opportunity with a long-term commitment, in the appropriate returns, that's probably going to get pulled ahead of a market-driven opportunity. So we kind of balance those as we look at all of the opportunities that are in front of us and we'll decide accordingly.
Michael Carroll: Okay. And then Fred, last quarter, you did a good job highlight some acquisition opportunities that you're looking at. Can you kind of give us an example of the type of deals you're looking at right now and do you have a pipeline today?
Fred Boehler: Yes, I think very similar to what I said last quarter. Obviously, once we went public, the phone started ringing both on the inbound and on the outbound side, and we continue to have a healthy pipeline of opportunities. We are talking to folks. We are assessing and doing the diligence, and I think the things that I called out last quarter, and I would echo it again, is we're not interested in acquiring just for the sake of getting big. So we're really focused on the diligence and making sure that we're going to be bringing quality portfolios into our infrastructure. Again, a key difference between us and some others in the market is we believe in full integration, and I think that's important as we go forward. And we kind of want to stay true to that course. So a lot of conversations going on, we'll see what happens.
Operator: Our next question comes from Bill Crow, Raymond James.
William Crow: The market-driven opportunities or spec development, I guess we might call it, there was an announcement recently in, I think, Dallas that there was ground broken on a new facility there. I'm just wondering if this is a - this is relatively rare in the cold storage, refrigerator storage business. I'm just wondering if it's picking up speed, if we've got - because fundamentals are so good, we're seeing more spec development?
Fred Boehler: Yes, and I know exactly which development project you're speaking to of course, that is the only one I can name that's not being put up by a core operator within the industry, right? So this is a developer that's developing and hoping that somebody will take tenancy of that facility. I don't know how successful they'll be, again, that's not the model typically. So I think we'll see how they do. Again, I think the importance here is people are looking for, our customers, are looking for people that have the expertise associated with managing temperature controlled environments. It's not as simple as operating a dry operation, or a dry facility. So I think also one-off facilities that don't have a broader network associated with them are going to be harder to fill.
William Crow: Yes, okay. And then I just want to hit the tariff subject one more time. It just seems like there's a lot of talk about it which maybe that's overblown or maybe - is that just going to different facilities which would still be good for you it seems if it's filling up competitors facilities with beef, pork, etc., is that fair or is it just this talk that's just overblown?
Fred Boehler: Well, I think a lot of talk is overblown but what I would say in all legitimacy is look, the manufacturers produce, something comes up or all of the sudden the tariff pops up and they're probably caught with some level of inventory that's in process, that's going to be stored a little bit longer. But what most of them do and I think what we've seen with some manufacturers is they just scale back their manufacturing at that point. So they'll scale it back, they'll wait until they buy new markets and then turn it back on. I really do think it's a temporary thing.
William Crow: Yes, two quick ones. I think you said the cap rate on the sale was 6.6%. If that's correct, is that...
Fred Boehler: 6.8%.
William Crow: 6.8%, I'm sorry. How do you think that is representative to the value of say the majority or portfolio?
Marc Smernoff: I'm not going to discuss the overall value of the portfolio. What we can say is that that asset was in a fairly tertiary market and not core to the overall portfolio as a whole.
William Crow: Okay. Finally for me, should we assume that the seasonality in earnings that we've discussed at the time of the IPO should still hold true and that third-quarter and second quarter are reasonably similar to one another before we get a little bit of hockey stick in the fourth quarter? Does that still hold true?
Fred Boehler: Yes, Thanksgiving and Christmas haven't moved. So in all seriousness, the big builds usually start to happening in time for Thanksgiving so you start to see the ramp up at the end of Q3 and then into Q4 and then you see it kind of purge out at the end of Q4. So I don't really see that changing, it's been pretty constant for years.
Operator: Our next question comes from Mike Mueller, JPMorgan.
Michael Mueller: Can we - going back for a second to that acquisition question, if we're thinking about the opportunities that you're looking at and the pipeline that you're evaluating, would you say cap rates are similar to that, the one that you sold or sub seven on a trailing 12-month?
Marc Smernoff: I think as we said in the past, I think we're seeing cap rates on really range kind of in that mid-5 to 8 and we're still seeing cap rates remain in that area and it's really specific based on the location, size, scale of the operation, who the underlying customers are and the nature of those contracts. So there's a lot of variables that go into it. We evaluate all of those. As Fred mentioned, we're very diligent in our approach to M&A.
Michael Mueller: Okay, and when you quote, just to clarify here, when you quote a cap rate and NOI, that's going to be the same basis that's in the supplemental here where it says service income as well as the rent storage, right?
Fred Boehler: That's correct.
Michael Mueller: Okay, and then for the occupancy dip, year-over-year down 140 bps or so, I may have missed it, can you just discuss the magnitude of the dip, was it - how much of it was abnormal versus normal and what's typical with occupancy in Q2 and if this is representative of it?
Marc Smernoff: Yes, we don't view this - first of all, the change is material. I think as you look within the supplemental, you'll see the historic occupancy trend, I think, on Page 20. You'll see the second quarter historically is the lowest physically occupied occupancy. Obviously, we've been doing a lot as we mentioned in ramping up our fixed commitment so within our portfolio there's a tremendous amount of occupancy where we're being paid for that isn't represented by a physical occupancy. So hopefully, as we mentioned on earlier calls, more to come on that. We hope to improve our disclosures toward the end of the year. So a lot more to do.
Michael Mueller: So we should look at that as not really being down from an economic standpoint as it's not down 140 bps?
Marc Smernoff: Right, I mean, yes, that's - yes, right. You see that reflected in the NOI growth, right?
Michael Mueller: Yes. I mean, you can see it in the rate, just wasn't true on the occupancy side. Okay. Got it. Okay.
Operator: [Operator Instructions]. One moment please while we poll for questions. Our next question comes from Dave Rodgers, Robert W. Baird.
David Rodgers: Marc, maybe first question for you. I think you quoted churn on 3.4%, is that on a - was that just the quarter? Is that year-to-date? And is that on a square-footage basis or on a revenue basis?
Marc Smernoff: That's year-to-date and on a revenue basis.
David Rodgers: Did it change materially in the second quarter versus the first?
Marc Smernoff: No.
David Rodgers: Okay. So I guess I wanted to ask that question to ask this question. In terms of just kind of the improvement and margin, which I think has been one of the best stories since you've come public, it seems like, and this is a good thing, that you've been driving purposeful churn in the portfolio to kind of drive that low-end customer out and you're seeing that and what you just mentioned which is maybe a slight dip in occupancy and a higher drive forward in your average rent or average pallet revenue. One, I mean, it seems like that's true and kind of correct me if I'm wrong, and then I think the second part of that would really be how much of that is left? I mean, how much of that lower hanging fruit can you continue to drive up before you've kind of caught up to where you think you should be?
Marc Smernoff: Yes, I think there's always going to be somebody at the bottom right? So I think we'll continue to prune as those opportunities - obviously we're not looking to get rid of any customers, that's the last thing we want to do and a churn rate of 3.4% is pretty low I think so we'd rather provide them with solutions and help them understand the value of what we do for them and get appropriately paid for what we do for them, right. So that's our key strategy. So the last resort is if I have a customer, obviously, that's more strategic in nature while the total contract, somebody that's growing with us. They're going to take precedence over somebody that's at the bottom of that rung and so that's kind of how we manage the portfolio.
David Rodgers: And maybe just a follow-up to that, so with that comment in mind as well as product mix that you talked about on the press release and your comments earlier in terms of hoping to improve margin, how much of that combination is still left? I mean, obviously there's probably a terminal margin that you hit and then stabilize at some point but how close do you think you are to that and how much runway do we have maybe in time or in [indiscernible]?
Marc Smernoff: As Fred mentioned, continuous improve - we're actively managing the portfolio with the mindset of continuous improvement and continuous focus on serving our customers and increasing our return that we're yielding off our assets.
Operator: Our final question comes from Ki Bin Kim, SunTrust Robinson Humphrey.
Ki Bin Kim: Just one point of clarification. The 140 basis points drop in occupancy percentage, is that what you considered occupied pallets or physical pallet solution?
Marc Smernoff: That was physically occupied pallets. So overall, as we said, we don't view that as material, there is some seasonality in our business and there's some variability as a result of just our - what's underlying, as Fred mentioned what's going on with our customers and their customers. As we've said, we've worked for our commercialization and our efforts to really focus on the quality of the portfolio to active portfolio management to really post the type of returns that you saw in this quarter which is really designed on how do we continue to improve and optimize the portfolio to drive profitable growth?
Ki Bin Kim: So I think last quarter you mentioned the calendar shift and maybe timing of harvesting that contributed to the lower occupancy last quarter. I would have thought that might have reversed on a year-over-year basis this quarter. So what - I guess any color you can provide on that?
Marc Smernoff: Yes, the types of crops that cause that tend to be annual crops when you see some sort of seasonality, therefore we always encourage people to look at our business over the longer term. Just so you know, so those crops, the seasonal crops that cause that will be coming in this summer and early fall. So you'll start to see some of the year-over-year depending on the size and scale of the crop.
Ki Bin Kim: Just to clarify that, you're saying that by the second half that should - the year-over-year...
Marc Smernoff: Depending on the health of the crops that are coming in, correct. Yes.
Ki Bin Kim: So that should improve in the second half you're saying?
Marc Smernoff: Yes. So what we're saying, look, if it's a wheat crop or a year, you really won't see any change of that until the following harvest of that particular crop, the next year and then as we said, we ultimately don't control the size and scale of the crop but what we're really focused on is through our commercialization efforts how we provide improved kind of visibility, stability and quality of our earnings and I think that's reflective of our results in this quarter.
Ki Bin Kim: Okay, and just going back to your earlier comments about customer mix. If I remember correctly, I thought the retention ratio was pretty near 100% unless our tenant went bankrupt. So a couple of questions here, I guess what do you mean by customer mix and for the [indiscernible] that did turn, did they leave just because a competing facility? Or what were some of the reasons behind that?
Marc Smernoff: Well, I think, again, when we talk about customer mix, right, there's a number of factors that are involved and not every customer is equal, right? So we have 2400-ish customers. All of those range in different size and scale and different throughputs associated with them. So for example, a retail customer of ours is going to have a lot of flow through going through the sites, right, versus an agricultural site going to the other end of the spectrum, there's very little throughput, vault storage, right? So when we talk about mix, it's how much retail might we have, how much volume might we have flowing through the retail for example versus one of those agricultural folks. That's kind of an extreme example. We're not talking about replacing customers with different customers, necessarily, although there's a piece of that. It's how much volume is coming through Customer X versus Customer Y.
Ki Bin Kim: Okay, sorry to jump around a little bit here. The pallet solution - the throughput pallet solutions were down 440 basis points. Same reasons for the occupancy or was there some other element to that?
Ki Bin Kim: Yes. So as we said, that throughput is associated with the mix so just as Fred said, if we have a higher combination, in Fred's example of the grower versus the retailers, we'll see slower throughput. So again, that's not a metric that we get very fussed with. And as we called out, our overall services revenue grew by about 2.2%, and I think the really powerful thing that I don't want to lose sight of is if you look at the margin that we earned on that services, we increase the margin on that services business by 250 basis points in the quarter. So again, I think it shows that we're underwriting business better, we're being a lot smarter about the business we're taking in, how we structure that agreement, and we're delivering value to our customers but we're also delivering returns to the shareholders.
Ki Bin Kim: Okay, and the other services expenses, that dropped a little bit year-over-year which along with the revenue helped the NOI margin. Can you talk about what is in that category of other service expenses and is a kind of current run rate, beneficial run rate, should we expect that to continue?
Marc Smernoff: Yes. So other services would include like the cost of the material handling equipment. Just the operating efficiencies within the warehouses. Those are the big things, we also have the repair and maintenance on that. Obviously we've focused around how are we improving the MAT fleet, its maintenance. Obviously we continue to focus more and more on preventative maintenance. We focused on making sure we improved the age of the fleet over the last couple of years, all of those initiatives are contributing to improve results over time.
Ki Bin Kim: Okay. And then since I'm last, if I can add one more please. The least - if I don't ask it, it won't be asked, right? [indiscernible] The lease accounting changes that are impacting REITs, basically the expensing of internal leasing costs and legal costs. I know you guys expense a lot of it. Do you expect to have an impact in 2019?
Marc Smernoff: Not a material impact.
Operator: Ladies and gentlemen, we have reached the end of the question and answer session, and I would like to turn the call back to Fred Boehler for closing remarks.
Fred Boehler: Thank you. Yes, I appreciate everybody's time. Great questions this afternoon. Again, the business continues to perform well. And I'll just repeat it again. I'm very proud of what the team continues to do. We've got a long trend of success here and we're operating and executing to the plan that we have laid out. So look forward to talking to you next quarter.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.